Operator: Good morning. My name is Steven, and I will be your conference facilitator today. At this time, I would like to welcome, everyone, to the UPS Investor Relations Third Quarter 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. And after the speakers' remarks, there will be a question-and-answer period. It is now my pleasure to turn the floor over to your host, Mr. Scott Childress, Investor Relations Officer. Sir, the floor is yours.
Scott Childress - United Parcel Service, Inc.: Good morning, and welcome to the UPS Third Quarter 2017 Earnings Call. Joining me today are David Abney, our CEO; Richard Peretz, our CFO; along with International President, Jim Barber; President of U.S. Operations, Myron Gray; and Chief Commercial Officer, Alan Gershenhorn. Also joining us today is Kate Gutmann, our Chief Sales and Solutions Officer. Before we begin, I want to review the Safe Harbor language. Some of the comments we'll make today are forward-looking statements and address our expectation for the future performance or results of operations of our company. These statements are subject to risks and uncertainty, which are described in detail in our 2016 Form 10-K and 2017 10-Qs. These reports are available on the UPS Investor Relations website and from the Securities and Exchange Commission. The webcast of today's call, along with the reconciliation of GAAP and non-GAAP financial measures, are available on the UPS Investor Relations website. Webcast users can submit live questions during today's call. We will focus on answering questions of a long-term and strategic nature. Callers are asked to submit only one question, so that we may allow as many as possible to participate. Now, I will turn the call over to David.
David P. Abney - United Parcel Service, Inc.: Thanks, Scott; and good morning, everyone. Again this quarter, we are reporting solid UPS results with revenue gains and good execution in our segments. Our performance is driven by UPS's high-value solutions, broad portfolio of services, efficient global network, and strategic investments. Let me first take a moment to recognize the difficult conditions created by several recent natural disasters and the incredible way our team responded to these challenges. Some of the communities we serve have been severely impacted and we've been focused on restoring service to those areas. I want to express my personal appreciation to thousands of UPSers around the world for their dedication, working side-by-side in their communities and on their routes delivering life-sustaining supplies. In addition, the UPS Foundation committed more than $3 million to support the relief efforts throughout the U.S., Caribbean and Mexico. I can't emphasize enough how proud we are of the UPS team and their great work. It's this kind of teamwork that gives me confidence that we're well prepared to carry momentum forward to deliver a successful peak season. Kate Gutmann will provide details on peak at the conclusion of my comments. Now, let's take a look at the company's performance. During the quarter our focused execution, combined with our ability to capitalize on market opportunities, enabled UPS to meet our financial expectations. Our e-commerce and cross-border solutions help UPS deliver strong revenue growth of 7% on a 4.6% increase in daily shipments. In the U.S. increasing demand for UPS Next Day Air and Ground products drove revenue growth. Focus on fundamentals, combined with the benefits of recent investments, produce good results, especially when you consider the unexpected headwinds we faced. The International segment continues to serve as a growth engine for the business; producing record third quarter operating profits. Several actions taken this quarter were designed to accelerate that growth in the future. In Europe, UPS's enhanced network capabilities enabled market share gains, clearly about 20% growth in intra-Europe exports shipments is evidence of that success. In Asia, our joint venture with SF Express was approved. We're moving forward with plans to develop a cobranded, highly-competitive export product for Chinese businesses shipping to the U.S., positioning us for more growth in the small and medium-size customer base. We will expand this offering to other markets in the future to ensure UPS has enough international air capacity to meet growing needs, we took delivery this month of two 747-8 aircraft with another on the way this year. We're quickly putting them into high-demand transpacific routes in time for peak season. Another encouraging development this quarter was the early initiation of contract talks. We've worked with the Teamsters for more than 80 years with the objective of providing industry-leading service to our customers, so we can create new jobs and reward employees for contributing to the company's success. We expect the negotiations to move forward in a constructive manner and we know that when employees are engaged, connected and committed to the company's priorities, UPS customers, share owners and employees all will benefit. As we move into the fourth quarter, the macroeconomic environment looks solid. In the U.S. in the third quarter, we saw a slight reduction in economic growth forecast. As a result, industrial production slowed in the third quarter, but forecast for the coming months have a more optimistic outlook that should bode well for B2B demand. We also remain confident about the holiday season, as consumer sentiment remains elevated, although there is some inflationary pressure on wages due to high employment levels. Looking outside the U.S., global growth projections have moved higher as performance in Europe and China continues to exceed expectations. While the economic outlook remains fairly promising, we see further upside potential from U.S. tax reform, which we strongly support. The current proposal will provide great incentives for companies to both reinvest and create jobs at home. Against this backdrop, we are well prepared to capitalize on growth opportunities and serve UPS customers' needs as we head into our peak season. And to give you an update on the preparations, planning and expectations for peak, I'll turn things over to Kate. Kate?
Kathleen M. Gutmann - United Parcel Service, Inc.: Thanks, David, and good morning, everyone. It's great to be here to review our strategies for the 2017 peak season. Our peak strategies are designed to efficiently and reliably serve all UPS customers, whether those who experienced the highest seasonal spikes in demand, to small and medium-size customers, as well as our B2B customers like those in healthcare. The UPS team has worked throughout the year to prepare for the e-commerce growth we anticipate this year. In fact, between Thanksgiving and New Year's Eve, we expect to complete a record 750 million deliveries worldwide, about 40 million more than last year. In the U.S., the National Retail Federation expects total holiday retail sales to increase between 3.6% and 4%. They also expect non-store retail, or online sales, to be higher this year, up between 11% and 15%. At UPS, we're focused on delivering a successful peak season for customers and investors through more collaboration, more capacity, better control, and a strong commitment to service. First, we're focused on improved collaboration with customers for better forecasts, so we can collectively smooth work across the network. We are helping customers optimize the experience they provide their customers, from the first click to the final delivery. More extensive collaboration this year will better align UPS solutions and capacity with seasonal promotions and fulfillment strategies. We work closely to obtain daily shipping estimates by location and even by product. We've built operating and communication plans that allow us to respond to changes quickly. A second area of focus this year is expanding capacity. UPS customers will benefit from several facility expansions and the technology investments that we've made throughout the year. We've increased UPS delivery capacity through a combination of permanent and temporary facility expansion. Across the U.S. network, we've increased both package delivery and sorting capacity by about 6% over the past year. This represents the addition of more than 1 million square feet of added permanent and automated capacity available for peak. The permanent facilities are located across the country in key locations like Los Angeles, Chicago, and Kansas City. The deployment of Saturday operations with both pickup and delivery provides us with new and more efficient capabilities to serve customer growth. We will also take advantage of the flexible solutions from our partners at Coyote Logistics again this year. The third focus area is control, both control of deliveries for UPS customers and control of the UPS network. UPS My Choice will provide greater control to more than 40 million global members, an increase of 10 million from last year. Through My Choice, more than one in four U.S. households communicate directly with UPS to enhance their delivery experience. The combination of My Choice and UPS Access Point creates a highly-efficient solution that provides customers with the assurance of on-time delivery and higher first-attempt delivery completion. To enhance customer support and our network decision-making, we will again operate control towers in the U.S., Canada, and Europe, and this year we've added this process in Asia as well. As unplanned customers' needs arise, the control towers will make a timely assessment of available network capacity and ensure we are properly compensated. Revenue management is an ongoing exercise at UPS as demonstrated by our 2018 general rate increase of approximately 4.9%, which was announced yesterday. In addition, we've introduced our first peak-season surcharge and customer acceptance is progressing as planned. These surcharges target specific residential, heavy volume periods and large items that require special handling. This strategy is designed to encourage smoothing of volume across the period between Thanksgiving and Christmas, and ensures we are appropriately compensated for the value provided to customers. The final area of focus for UPS is commitment. The entire UPS team will work diligently to provide world-class value and service during this upcoming holiday season. Global markets are evolving and customer demands are ever-increasing, so developing optimal, peak-season plans is a dynamic process each year. We take future expectations and learnings from previous peak seasons and apply them to continually improve the company's service levels and financial results during this critical time of year. Our plans are comprehensive, our networks and employees are prepared, and we are ready to deliver. Thank you for your time today. Now, I'll turn it over to Richard.
Richard N. Peretz - United Parcel Service, Inc.: Thanks, Kate. UPS had another successful quarter. Our results highlight the flexibility of the global UPS business model and the power of our investments. We've managed through headwinds in the U.S., delivered broad-based strong growth in the International business, and continued generating excellent results in the Supply Chain and Freight group. The UPS team's execution this quarter generated earnings of $1.45 per share, driven by sustained revenue expansion in all segments. Looking closer at the business segment, in the U.S., revenue and costs were negatively impacted by natural disasters in Texas, Florida, and California, creating a drag of about $50 million of operating profit. However, growth in package volume was positive, up 3.4%, with revenue up nearly 4%. We've had strong growth in our business going back to mid-2016. Higher growth in both Next Day Air and Ground products was driven by e-commerce demand as average daily shipments increased 8% for Next Day Air, while Ground was up 3.4%. Package yields improved 2% year-over-year, and base rates came in at the higher end of our 2%-to-3% range. Fuel surcharges added to the yields by approximately 40 basis points. Fuel and base rate improvements completely offset a drag from customer and product mix this quarter. The U.S. operating profit came in at $1.2 billion. After adjusting for the unplanned events, our profits were in line with our expectations. Results this quarter include one-less operating day, about $40 million of costs from our previously-discussed ongoing investments in new buildings, and the deployment of Saturday operations. Now, let's turn to the International segment. It was another great quarter. The third quarter reported profits were up almost 9%. And on a currency-neutral basis, operating profit was up 20%, making this the 11th straight quarter of double-digit growth. The largest operating profit gains were in Asia and Europe. Revenue increased more than 11% in the third quarter. Growth was evenly balanced across the world between premium and deferred products, both increasing at double-digit pace. Export shipments jumped nearly 20%, led by robust cross-border shipping. Growth was higher in all regions on all major products, driven by expanded portfolio of services and market-focused strategies. The story was similar for the domestic shipments in International; growth was broad, up about 6% with year-over-year gains in all key countries we serve. Currency-neutral international package yields were up 2.3% as base rate improvements and fuel offset trade lane and product mix. Our global investments are allowing us to grow faster than the market by expanding capabilities across the regions. We are adding aircraft to support our export products, and we're about halfway through the five-year, $2-billion investment in the European network. Our international strategies produced another successful quarter driven by strong volume growth and expanding yields, moving on our optimized integrated network. Now, turning to the Supply Chain and Freight group, which produced another great quarter of growth in revenue and operating profit. Revenue increased 13% with gains in all the major business units. Forwarding, Coyote, and UPS Freight had the highest growth in the quarter, and they were assisted by the concentration of our middle-market customer wins. In the Forwarding group, revenue growth in the International and North American Air Freight markets were elevated by high-single-digit tonnage gains. UPS Freight increased revenue 11% on LTL tonnage growth of nearly 6%, combined with a 3.6% improvement in LTL per hundredweight pricing. In the Distribution unit, revenue management and efficiency fueled double-digit operating profit expansion, driven by the aerospace and retail sectors. Operating profit in this segment increased $20 million, or 10% over last year, making this the best third quarter ever and one of the most profitable quarters in our history. Now, looking at the balance sheet; through the first nine months of 2017, UPS generated $4.4 billion in cash from operations, paid $2.1 billion in dividends, and repurchased more than 12 million shares for about $1.4 billion. On a year-to-date basis, the company has made capital expenses of $3.7 billion as we transform our network for tremendous growth opportunity, more efficiency, and long-term value. Our investment strategies will help ensure we achieve the $800 million to $1 billion in cost savings and avoidance that we have laid out earlier this year. Now, I'll turn to guidance; let me start by level-setting; the year-over-year comparisons in the fourth quarter. First, we received about $40 million of benefits from discrete tax events in the fourth quarter of 2016, benefiting last year's adjusted earnings per share of $1.63 by about $0.05. Next, we have a potential currency drag in the fourth quarter of 2017 of around $100 million, or about $0.07 adjusted earnings per share. The final currency affect will depend on what the rates do in the coming months. Turning to the business, we have performed well through September as global e-commerce strategies are evolving with increased seasonality. We expect this to continue moving forward. In the U.S. segment, recent economic news is encouraging. Consumer, retail, and business conditions hold promise, but we also see some caution as the effects from the natural disasters linger into the fourth quarter. Additionally, we are seeing some cost pressures on temporary peak hiring and purchase transportation in specific markets and locations in the U.S. And lastly, we predict continued strong volume and revenue growth for the remainder of the year. Turning to the International segment; we expect positive momentum as we move forward, allowing market share gains to continue, yet at the same time currency will remain a headwind. And in the Supply Chain and Freight segment, we're well-positioned to take advantage of firming rate conditions and support peak season small package strategies. We anticipate this segments growth trends will continue. At the total company level, revenue growth is expected to be at the high end of our full year guidance of 5% to 7%. We now anticipate fourth quarter taxes should remain around 35%. Considering our current momentum and reviewing all the economic data and our internal initiatives, we are confident that we're moving higher in our full-year guidance range. We now anticipate 2017 adjusted earnings per share to be in the range of $5.85 to $6.10, which includes currency transition of approximately $0.30 per share, or $400 million. Before I open the line, let me summarize. UPS is focused on making the necessary adjustments to adapt to current conditions as we implement our long-term strategies. As Kate mentioned, UPS is bringing new capabilities into this year's peak season. Saturday operations, new surcharges, and more efficient capacity. These initiatives position us for success. As we look ahead, these investments we are making today will serve as a springboard to deliver new solutions and long-term value for years to come. Before I turn it over to the operator, I want to remind you that the webcast users can submit live questions during today's call. Thank you for taking the time this morning, and now I'll ask the operator to open the line. Operator?
Operator: I will now turn the program back over to our Investor Relations Officer, Mr. Scott Childress, please go ahead.
Scott Childress - United Parcel Service, Inc.: Thank you very much. Our first question, we're going to take an online question from Dave Ross of Stifel Nicolaus. David's question is, now that the SF Express joint venture has received regulatory approval, what are the next steps? What is the expected impact, if any, on the business from the JV in 2018?
David P. Abney - United Parcel Service, Inc.: Okay. This is David and I'll take the first part of that question then I'll pass it over to Jim. We were excited that we did get approval and approval on a timely basis. The reason that's so important to us is there's just so many opportunities between China and the U.S. And this joint venture just combines SF Express' deep China presents with our UPS integrated global networks that we just see as a very good combination. That being said, Jim, why don't you give a little more detail?
James Jay Barber - United Parcel Service, Inc.: Sure. I'd be glad to. So David, I think on the back of David's comments, we've been working on this for well over a year by the way. I would tell you, it's very significant in our mind as a big step for us inside and crossing borders in and out of China. Really what it does for us is it gets us and gives us the ability to go to new places, to reach new customer segments with new products that we haven't had in this market, obviously, for 110 years at UPS. It's going to synergize with our Forwarding business, and it's going to really continue to let us grow in cross-border trade. Just a data point for you that I get very excited with is in the network that SF and their team has, are 173,000 touch-points in China that are made up of couriers and service centers in retail stores that will be able to actually participate very differently going forward than we have in the past. And I think the other thing lastly, because, obviously, the specifics of what's going to happen in 2018 and beyond will become more apparent as we move. I would say that we planned them to be material, obviously. But the team at SF, as well, I think partners very nicely with our team in Asia, and I think we can't undersell that partnership concept as well. So appreciate the question.
Scott Childress - United Parcel Service, Inc.: We're going to take another online question. This question is coming from Brandon Oglenski from Barclay Capital (sic) [Barclays Capital. Fourth quarter results have been volatile in the past year, with both service and cost challenges impacting profitability for UPS. With another strong peak season expected, can management discuss how the additional resources and costs added this quarter can be better scaled to actual volume demands, while still meeting service commitments?
David P. Abney - United Parcel Service, Inc.: Okay. Brandon, thank you for that question. And we're going to spend a little time on that because it's got just a few different angles. So I'll say a few words and then going to hear from Myron and Jim from their business units, and then Kate from a customer and revenue perspective. But I believe we're well-positioned to have a successful peak season, both from a customer standpoint and an investor standpoint. And it's coming quickly. We've been working a long time on this, and I think there's a lot of confidence throughout the group. So that being said, why don't go ahead with you, Myron.
Myron A. Gray - United Parcel Service, Inc.: Good morning. There are several factors that give us confidence in our ability to perform this peak season. Considering the tremendous amount of time that's been spent with our customers to develop accurate forecasts, preparing to hire and train seasonal staff, as well as expanding our permanent and seasonal capacity, we believe that Saturday deployments of our operations will have a tremendous impact on this peak. It'll give us five additional delivery days. We're planning to process 40% more volume on Saturdays, and 80% of the volume we plan to deliver over the weekends will be through the facilities where we've already established Saturday operations. Once again, we plan to hire 95,000 seasonal helpers, in which 35% over the last three years have later been hired into permanent jobs with UPS. The onboarding process will be significantly improved through new technology advancements. It will also help increase productivity through our mobile delivery apps, as well as our abilities to give dynamic sort instructions through Wi-Fi capabilities. We have also added an additional 1 million square feet under roof that will allow us to have additional sort capacities, and we've implemented 10 additional peak hubs, so we feel like we are positioned for success.
James Jay Barber - United Parcel Service, Inc.: This is Jim. I'm going to add a couple of points that I think are material in nature outside the U.S. I'll start in Europe and then I'll go quickly to Asia. Europe, quite frankly, has been one of those years that we've had kind of peak volumes all year long, which is one of the advantages to going into this peak season. Our growth in Europe all year long has approached double digits every quarter, so we've had to add, obviously, both human and capital investment to support that. We've opened three new hubs this year, 170,000 pieces an hour in Europe. Obviously, we've had the unfortunate situation of the cyber-attack in the middle of the year that pushed volume into our network that we needed to respond to. We've added Lyft in Cologne, so the Europe infrastructure as we move into this fourth quarter, I feel like is in a very unique and positive position. And then we go out to Asia. Obviously, we've talked about the arrival of the 747-8s. The first one we took on the ground in Hong Kong on October 18. The next one is October 28. We get another one on November 24th, and then we move into next year. So they also have had a year of very high demand out of Asia that we've had to scale the network. And so in both cases, as a kind of front end of the engine, I think we're in great shape honestly for a great peak season to connect back, obviously, with Myron's network as well in the U.S.
Kathleen M. Gutmann - United Parcel Service, Inc.: From a customer perspective, I would add that as I mentioned in the opening, collaboration is critical, deep and broad, and the UPS team is now considered trusted advisors to our customers. We've gone through an extensive forecasting process. And also enhanced by some of the learnings from last year, we do this now by location, by product, and we've gone further within our customers' organizations, so that we encompass merchandising, marketing, fulfillment, as well as transportation. All of that leads to mutual success. We've jointly agreed upon special operating plans to help smooth out some of the peak periods, such as the Monday spikes that would be leveled off by operations opening on Cyber Weekend, as well as Super Weekend, and the customers are absolutely participating in that. Better utilizing for the first time Saturday delivery and Saturday pickup, which is market-leading and has been embraced by our customers. And then, of course, the control tower, which we continue to enhance over the years, finding ways to say, yes, more often to un-forecasted needs, and aligning it with the availability in our network. And along those lines, we've continued to reinforce that it's important to align the price with cost of delivering this value and customers are working to ship volume in two weeks to minimize the impact of the surcharge. But if needed in those weeks, the surcharge applies to those packages. So a joint effort and, again, one that we're confident and will lead to success at peak season.
Operator: We have a question from the line of Chris Wetherbee, Citigroup. Please go ahead.
Chris Wetherbee - Citigroup Global Markets, Inc.: Hey, great. Thanks, and good morning, everybody. I wanted to ask about some of the cost headwinds that we've seen in the Domestic segment. It looks like you're pulling forward maybe some costs into the fourth quarter with $60 million, which is up from the third quarter's performance. I guess I just wanted to get a sense how we should be thinking about maybe beyond fourth quarter. It sounds like you're ramping up for peak season, but as we start to move into 2018, how should that cadence to sort of these cost headwinds as you roll out Saturday and build up the Domestic network look?
Richard N. Peretz - United Parcel Service, Inc.: Sure. Chris, this is Richard. And I think, first, it's a little early to guide, because we are just putting all of our plans together for 2018. What we did earlier this year, say, this $100 million to $200 million operating penalty would be ongoing for the next three years as we continue to not only open the Saturday operations. And the reason the fourth quarter is large is because that's when you have most of the operations open. But it's also, as we operate new buildings and start construction or operating new buildings, there's some penalties as we get these buildings up to the same standard from when they first start to the UPS full implementation, because it's a step function. So again, on the next call, we'll talk about 2018, but we did call out that there would be between $100 million and $200 million for each of the next few years.
Myron A. Gray - United Parcel Service, Inc.: When you look beyond this peak season, Brandon (sic) [Chris], take into consideration that we'll be continuing to implement Saturday operations next year. At the onset of peak this year, we will have deployed Saturday operations in over 200 locations. We would expect that to be a bit greater than 90 locations for next year, as well as the additional capacity that we will add for next year. We're going to bring on 5 million additional square feet that will bring into the network next year, so it'll be the onboarding of those locations and the additional head count associated with it.
Chris Wetherbee - Citigroup Global Markets, Inc.: Great. Thanks.
Operator: We have a question from the line of David Vernon, Bernstein. Please go ahead.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Hey. Good morning, guys. So it looks like the underlying sort of growth is accelerating here as International supply chain are happening, but I want to kind of get some feedback from you guys on the direction of the Domestic margin as you think over the next two or three years. You've got the implementation costs kind of in the base over the next couple of years. Should we be expecting that the operating profit in Domestic is going to be growing kind of with the top-line from here? Or do you think there is still some possibility that 2017 – or 2018 could be a little bit lower on the Domestic margin side?
Richard N. Peretz - United Parcel Service, Inc.: Yeah. Again, it's a little early, because we are just putting these plans together, David. This is Richard, obviously. But I think the first thing you should think about is that next year with 5.5 million square feet of buildings opening, it will be muted as well next year, but it really is part of a deliberate plan. One of the things is we've been looking at buildings and trying to do this as fast as we can. And we've said all along we were balancing the opening of the buildings with the disruption to the network. And so we have seen that putting about a million square feet in this year and next year it's 5 million square feet. So the velocity is a little different than we originally planned. But at the same time, as we get our plans finalized we'll share that, but I would expect that it would be a little bit muted on the lower end of where we guided for next year. But we're still putting plans together, so it's a little early for me to say exactly where we're going to land.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Yeah. No, I'm not looking for like an exact number, I'm just trying to think like, I think what's keeping a lot of folks nervous about the stock, quite frankly is, is either a lack of commitment, or a feeling that there is a lack of controllability about where that Domestic margin is going to go over the next kind of 2, 3 years. Year-to-year, quarter-to-quarter is not the issue. The issue really is, is the management team feel like they can get a flat to up Domestic margin? And what are the incentives around that to make sure that actually happens?
Richard N. Peretz - United Parcel Service, Inc.: So I think the first thing is we're looking at this much longer term. I mean we're investing in order to build out our network, not just for the next year or two but really for the next generation. And that plays into it, and if we can move a little faster, it's always going to be the best thing we can do, because our highest return is going to be, of course, reinvesting in the business. And not all growth is going to be linear because, look at our revenue line right now, we're having some of the fastest revenue growth that we've had in over five years. And we think that that's healthy and we'll continue to adjust the network for that kind of growth because we historically have not had that kind of growth. So I would tell you that you should be thinking about we're preparing this for the future, we're looking at the return on invested capital, and all of our goals are aligned with making sure that we continue to increase value and bring the proper return, not only for UPS, but for our investors going forward.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: All right. Thanks for the additional color.
Scott Childress - United Parcel Service, Inc.: We're going to take an online question from Scott Schneeberger of Oppenheimer & Company. Can you please address the drivers of the recent improvement in global air freight markets and global trade? How is UPS positioning strategically to capitalize on this momentum?
David P. Abney - United Parcel Service, Inc.: Okay. This is David, I'll start that and then hand it to Jim. But we are encouraged by the recent improvements in global trade and we think that the global economy certainly has a part with that. But exports are growing pretty much throughout the world, and this is just an important part of our growth strategy. We see Jim's International unit as really a primary growth engine and this is feeding a lot of that growth engine. Jim?
James Jay Barber - United Parcel Service, Inc.: Yes, Scott, I would add three points to what David has said. First, obviously, inventory levels continue to be at levels that are going to push more through that supply chain both, and I'm talking kind of air freight and ocean in this discussion. In the most recent quarter, the data that we see has the ocean utilization at over 97%. So you have a high, high, demand environment now with capacity really becoming tight. Obviously, that's driving the rates up and you can see that across the industry and across, obviously, the players. And then you get up in the air, this is the fourth consecutive quarter where you really had demand outpacing capacity. Obviously, it started with pilots coming out of the air in China, capacity came with it, the air freight rates have tightened, obviously, we all have to manage through that, and then manage the connections. But then in the middle, the third event, obviously, is weather. When all of those three combinations hit you get an air freight and an ocean market that exists as it is today, obviously it will drive transportation rates up, and we have to respond to that. And I think actually the UPS team beginning in Asia moving back out to the west has done a great job. So we look forward to our fourth quarter as well. Appreciate the question.
Operator: We have a question from the line of Tom Wadewitz of UBS. Please go ahead.
Thomas Wadewitz - UBS Securities LLC: Yeah, good morning. So I'll maybe stick with that topic of international strength and it's pretty impressive the acceleration in export volume growth. I was wondering if you could give us a little more perspective on some of the pieces of that. I know obviously, you don't talk about market, but how much of that is kind of benefit from TNT cyber-attack that volumes come over? In the future, maybe, how much do you think we ought to consider the SF Express stepping things up? Just trying to get a sense of kind of what might be temporary and what might be you ought to put into the model a double-digit export volume growth for the next couple of quarters or couple of years?
James Jay Barber - United Parcel Service, Inc.: Okay, Tom. That's a broad question. I'll do my best to skinny it down. First of all, let me start with – I think Rich had some opening comments as did David. I think that the way we think about this is, this is just another step that our customers are choosing UPS. We've had 11 quarters in a row of continued momentum. This one, obviously, when you see 19% export volume growth, that is certainly a big one. You pointed to Europe but if you take a look at Europe back in 2016 when we started this, the growth has been accelerating for almost two years now. The intra-European growth started in early 2016 at 6% and then the quarters went up from there. They went to 8%, 11%, 15%, 12%, now 19%. So this has been a very deliberate investment in that market with all of the dynamics that were going on. We started in early 2016. Yes. There is some additional lift in the most recent quarter from the malware event; no question about that. But this growth is more than just Europe, this is a broad-based growth. Richard touched on it as well. We're really growing across the globe. I can't tell you what to put in your models, but certainly from my perspective this is about many years into the future, not just the next quarter. So we're pretty pleased with where we are and we look to the future and tomorrow to keep it going.
Thomas Wadewitz - UBS Securities LLC: Were the numbers you mentioned just the total International export, or those were Europe numbers, you mentioned before?
James Jay Barber - United Parcel Service, Inc.: Those were intra-European export numbers.
Richard N. Peretz - United Parcel Service, Inc.: Overall, exports grew in all regions. And, actually, it was pretty much aligned to both with the number we had for intra-Europe for all exports. And, Tom, we recognize that there probably was a little extra in this quarter, but to Jim's point we've been on a two-year improvement and we still expect that. Obviously, it doesn't mean that we'll stay at these current levels, because of what happened in the third quarter elsewhere, but we do expect to continue to grow strongly and we've guided that International is an important part of the growth story, and it's something Jim and his team have done a really good job doing in the last few years.
David P. Abney - United Parcel Service, Inc.: And just to expand on Richard's comments about the two-year story, this has really been about a 10-year story, and then we committed to the $2 billion a couple of years ago and we're probably 40% of the way through that. But we've had big, big success in Europe and in our International exports for the last 10 years, so it's just been a very consistent story. All right?
Thomas Wadewitz - UBS Securities LLC: All right. Thank you for the time.
Scott Childress - United Parcel Service, Inc.: Thanks, Tom. We're going to take another online question. This question comes from Brian Ossenbeck of JPMorgan. How has the first 747-8s performed in the early testing, which customers are utilizing the domestic air service most frequently? And can the service become more cost effective when cascading the international fleet to the domestic routes?
James Jay Barber - United Parcel Service, Inc.: This is Jim, again. As I mentioned, the kind of rollout plan of the 747s, the 10/18 was the first one, and then the next one is coming in the next few weeks, which is great timing for us. With respect to how are they performing, obviously, as you would know that any time you do get new aircraft you got to make sure that they perform properly, the airline led by Louisville did a great job to make sure we tested them as quickly as we could when they came off the line. We advanced that knowing the demand and the capacity issues that we had. So to get the first one there on 10/18 was a bit earlier than we had seen when we started. The actual first flight that left, those 747-8s can carry 288,000 pounds, and that one carried 288,000 pounds. So it was full to the brim as they say with small package revenue. They couldn't come at any better time, because we've been running, if you look at our block hours, year-over-year increases of almost 5% in our block hours to actually take care of this demand. And so for the bigger ones to come that can carry the extra payload in a more effective and efficient way, it is great for every participant in the actual supply chain. The customers love it. Obviously, we do. The economics love it, and the service loves it as well. So I think Myron wants to add a couple of points from an airline perspective and/or Alan does.
Alan Gershenhorn - United Parcel Service, Inc.: Hey, Brian. This is Alan. Yes, from the domestic perspective to your question about the customers, I would just say that we've been gaining air share each quarter during the last three years, and we'd emerged as the air-share leader. And part of that is our expansion of our 10:30 and noon and Next Day Air early service to more postal codes than any other carrier here in the United States. And we're doing that similarly with our International Express and our International Express Plus services around the globe. And that's very, very attractive to our health care and high tech and professional services industry segments. And then on the e-commerce side, we're obviously growing that quite well also with our Next Day Air Saver, as well as our deferred services. And you can see the strong growth that we had in Next Day Air this past quarter at 8%. Thanks for the question.
Operator: A question from the line of Scott Schneeberger of Oppenheimer. Please go ahead.
Scott Schneeberger - Oppenheimer & Co., Inc.: Thanks. Just if I could follow-up on those International questions from earlier, could you please elaborate? You call out the revenue growth, 11%, driven by premium products. Could you specify, was that uniquely in any one area? You've talked about broad-based, but curious about the premium products? And then also, nice movement on yield growth in the quarter in International, could you speak about that, particularly export yield growth? Thanks.
Myron A. Gray - United Parcel Service, Inc.: Let me start with the yield growth, I guess, is that I appreciate you noticing that because there's a lot of hard work that goes into that. Certainly, we recognized over the last couple of quarters we thought we needed to do a bit better job there to match it. Kate's talked about that in her opening comments. So that yield movement was purposeful and a couple of quarters in the making, and we think it's right for us long-term and the shareholders. With respect to the balance, look, I mean, I think the team's doing a great job. It's growth in Mexico. It's growth in Canada. It's growth in Europe. It's growth in Asia. It's growth in our intra-Asia networks. And, obviously, you start to layer in the likes of partnerships of the SF Expresses in the future and the Middle East investments that we've made, we feel like we've got some good momentum that will continue. So I think the key word is balance and, hopefully, you can see that across the talk we're having today and in the continued dialogue we will have in the future.
Scott Schneeberger - Oppenheimer & Co., Inc.: Thanks.
Scott Childress - United Parcel Service, Inc.: We're going to take an online question. This comes from Kevin Sterling from Seaport Global Securities. Purchase transportation cost as a percentage of revenue has been creeping up over the past two years. Can you talk about your purchase transportation costs jumping as a percentage of revenue during the quarter?
Richard N. Peretz - United Parcel Service, Inc.: Sure. And this is Richard, Kevin, and, obviously, I'll take this question. I think the first thing you have to do is think about the last two years. And while purchase transportation cost is up, there are two big buckets of purchase transportation. There's what we do internationally, and Jim just talked about how revenue has grown and we've been on a two-year, really, continued improvement plan that him and his team have been working. And then the other side is Supply Chain and Freight. And to give you an example, if you go back and look at our history prior to last year, our revenue growth in the Supply Chain and Freight group has been pretty muted. But yes, last year we grew at 8% and year-to-date we're right now just under 13% growth. Obviously, as Coyote, Freight Forwarding, those all play into the purchase transportation. And so, I think when we look at purchase transportation we think it's healthy. This quarter alone, over 60%, between 60% and 65%, was really driven by International and Supply Chain and Freight. And then when you get into what's going on in domestic, there's a piece of it because SurePost is growing a little faster than the average domestic. And then there's just a normal increases that you would expect. So when we look at it, I know it's a big number reported change, but if you look at what's going on with the business underlying it, I think you see that that goes right in line. And that's why you've seen both International profit growth and then what the Supply Chain and Freight segment has done and really called out in January that we've continue to see improvement this year. And that's what's happened as well.
Operator: We have a question from the line of Ken Hoexter of Bank of America Merrill Lynch. Please go ahead.
Ken Hoexter - Bank of America Merrill Lynch: Great. Good morning. David or Richard, can you talk about the accelerating CapEx? You talked about adding new aircraft and now you are jumping from 1 million square feet to 5 million square feet. Maybe talk about the scale going forward? And did your original CapEx targets account for the switch from upgrading your service at your sort centers to the building of new ones that you now plan?
Richard N. Peretz - United Parcel Service, Inc.: Sure Ken, this is Richard. Obviously, we just talked about it, and hopefully everyone in the call is getting that, part of this is about growth, and the emphasis that growth we talked about it in February. I've said on the call we think we're going to beat the higher end of the range for revenue for the total enterprise. And so when you think about year-to-date 7% growth across the entire enterprise, that's better than we've seen in over five years. Really, really coming out of the recession was the only other time we saw this kind of growth number. And it's about growth today and going into the future. So we're building and expanding the network, optimizing the investments, to look for what's best for UPS. Very early in the CapEx, we said we would continue to tweak, understanding we couldn't disrupt the network too fast because you still need to provide the right service for our customers, but we wanted to go as fast as we could. In the first earnings call in April of this year we did move forward a 747-8 that we actually have in operation today. And then we bought some land over the last year. It's really for buildings going all the way until the next five years, and that's because strategically it was the right place and the right size, and we did not want to lose that land because we knew what are roadmap plans were. When you put all that together, we likely think we'll be closer to 8%or around 8% instead of our initial guidance. But given the return on invested capital and when we do put new assets and investments in the business, the return they get, we think it's the best use for not only UPS but for our investors as well.
Ken Hoexter - Bank of America Merrill Lynch: Thanks, Richard.
Scott Childress - United Parcel Service, Inc.: Our next question will come from Dave Ross. And Dave's questions are: Are you more or less positive on 2018 UPS and global economic perspectives than you were during the last call in July?
David P. Abney - United Parcel Service, Inc.: This is David, I'll answer that. From a macroeconomic standpoint I would say that a little bit more positive about 2018. And just a couple of things, we talked about global trade seems to be growing, Europe is holding up well, there is concerns about Brexit, but for now Europe is holding up well. China has kind of been better than expected, and then exports in general are growing. And then from the U.S. side you see a couple of things. Obviously, the consumer is still driving the economy and especially from the e-commerce, we think that's just going to continue to grow. Excuse me, there's also optimism about the tax reform and what that can do to stimulate the economy. And we believe that that is getting more and more interest. And the last part was the industrial production was affected a little bit this quarter by the natural disasters. Maybe won't bounce back completely in the fourth quarter, but we certainly think that will continue the first part of next year. So good question. I think we are little more positive. Thank you.
Operator: Next question will come from the line of Ben Hartford of Baird. Please go ahead.
Ben J. Hartford - Robert W. Baird & Co., Inc.: Hey, good morning, all. Thanks for the question. Just maybe for Alan and Myron on the new peak season holiday surcharge. Interested in what the receptivity from the customers have been. Have we seen any changes in behavior yet? What are the planning discussions like in the context of that new holiday peak season surcharge program? How do you expect flows to play out? Do you expect customers to largely avoid that and shift volumes into some the weeks not governed by the surcharges? Do you expect behavior to be unaffected? And maybe in the context of all of that, any sort of incremental risk or concern regarding access to capacity in December, given the looming ELD mandate on the truckload side? Thanks.
Kathleen M. Gutmann - United Parcel Service, Inc.: Thanks, Ben. This is Kate. I'll actually address the question. We've been working extensively with customers tied to the peak planning. And so to address some of the points in your question, definitely, consumer demand being what it is, some of it can be steered to other weeks but others will actually, of course, maintain in the period. So there will be a mix with the surcharge, but customers are looking at things like self-gifting. And if somebody's buying something for themselves at the holidays, if it can take extra time, then they will actually activate that to smooth the volume out of say something like a Cyber Monday. That helps their fulfillment centers. It helps also the level of peak spike that occurs. So that's one of the mechanisms, the surcharge, to help steer some of that controllable aspect of consumer demand while other aspects, of course, are committed times and needing to flow as committed. So that's some of it. And then the operating plans and the use of Saturday delivery and pickup, as I mentioned previously, are items that are helping to steer where possible, activating our Saturday pickup, which is market-leading. Enables packages to be delivered on Monday from shipped on Saturday. And that's proving to be popular with customers and very positively received. Thank you.
Scott Childress - United Parcel Service, Inc.: We're going to take an Internet question from Allison Landry. Allison's question is: How much B2C growth did you see during the quarter with brick-and-mortar? And is it outpacing growth from Amazon? What are you expecting? Are you expecting these trends to continue in the upcoming peak season?
Alan Gershenhorn - United Parcel Service, Inc.: Hey, this is Alan. I'll take that. Yeah. So as you saw in our results, we had another strong quarter of B2C growth, up high-single digits in U.S. domestic. But I do want to also note that it's up mid-teens in our International business, and we certainly expect this to continue. The customers out there, both in the U.S. and internationally are responding well to the UPS industry-leading e-commerce value stack. And that's broad-based growth. It's really coming from the bricks and clicks, brick-and-mortar retailers, along with the e-commerce pure-plays. And it's also coming broad-based from a customer size perspective in middle-market, small and medium businesses, and also enterprise. Some of the solutions out there that are really resonating are our newly created Saturday operations that includes Saturday pickup in addition to Saturday delivery that expedites shipments for Monday delivery. And then, obviously, on My Choice, our UPS lockers, our Marketplace Shipping tools and Access Points. And the one thing I want to note, this past quarter, we launched our UPS returns manager, which is a free online tool that enables merchants of all sizes to customize their consumer return services and processes, and our consumers get hassle-free return services. And we launched that in the U.S. plus 43 countries around the world. So we're building that e-commerce value stack both in the U.S. and internationally. Thanks for the question.
Operator: Our next question will come from the line of Pat Gruck (56:42) of Wolfe Research. Please go ahead.
Scott H. Group - Wolfe Research LLC: Hey, guys. It's Scott. So I apologize if this is a repeat. I've been bouncing around a couple of calls and hopefully you can coordinate better next time. But Richard, just on the fourth quarter guidance, since it's a decently wide range here, just wanted to clarify. Are you expecting domestic margin improvement in the fourth quarter? And are you still expecting Domestic margin improvement for the year? And then did you say if on the TNT benefit in the third quarter, if you are expecting any of that to continue in the fourth quarter?
Richard N. Peretz - United Parcel Service, Inc.: Sure, Scott. First of all, I think you asked specifically, first around the fourth quarter EPS guidance. And at the end of the day, in my talk, and you can pull the transcript, I went through unveiling the one-offs that occurred in 2016 around the tax and then the impact of the currency this year. And if you pull those out and do the math, the underlying growth is one of the stronger quarters we've had. That's the first point. The second point is we recognize that we'll continue to see both on International and Supply-Chain about what we expected, but we also know in the U.S., IP has come down a little bit post hurricane. We looked at Sandy and Katrina and saw recovery was about a 6 to 12 month process. And so overall we think Domestic is about where we expected it to be, and it's about where we expect it to be given the one-time hurricane and weather. And year-over-year for the fourth quarter we do expect operating margin to increase for the U.S. Domestic. So we've put it all together, we feel really comfortable, and that's why we moved up our range. And at the end as Kate and Myron and Alan have talked about, we spent a lot of time planning and working with our customers to ensure the fourth quarter is good and we deliver a good peak season for customers and investors. Thank you.
Scott H. Group - Wolfe Research LLC: So just if I'm clear, so if we kind of normalize for the hurricane, you're still expecting Domestic package margin improvement for the year.
Richard N. Peretz - United Parcel Service, Inc.: You've got to normalize for the call it – there was also some other quarters where there were some one times, but overall we think we're right on plan if you go back and look at what we've talked about.
Scott H. Group - Wolfe Research LLC: Okay. Thank you, guys
Operator: We have another question from the line of Brian Ossenbeck of JPMorgan. Please go ahead.
Brian P. Ossenbeck - JPMorgan Securities LLC: Yeah. Hi, good morning. Thanks for taking my question. I just wanted to come back to the topic of facility expansions. I know you said you're added 1 million square feet this year and looking at 5.5 million square feet next year. If you could just remind us over the next three to five years. I think, Richard, on the last call you mentioned it was about 28 million to 35 million square footage that you might need to add. Is there a potential that that could come down as you get better efficiency built into these facilities? And what sort of capital investments do you think that fully deploying that square footage might entail over the next three to five years? Thank you.
Richard N. Peretz - United Parcel Service, Inc.: So, Brian, I'm going to specifically talk about where we are right now. We have moved forward some of our especially outer-year land purchases. But what we're also seeing as a growth rate that's at the higher end of where we originally guided to. And so I think we said all along there are tweaks as I mentioned a moment ago, based on how volume comes in, capabilities, you know technology keeps changing, and as technology changes there's additional capabilities we have to think about in terms of how do we automate it? Because anytime we can automate that it helps the efficiency and the movement in the network. It's a little early to talk about the three-to-five year other than what we've guided, but I think as we close out the planning for 2018 I'll come back to it. The one thing we should talk about though is if you look at the Next Day Air and the International growth rates obviously, and the air capacity, we've now grown probably closer to 25% since we last bought a plane in either the International or the Domestic. So we keep looking at that to make sure that we have the right capital because at the end of the day those are great returns and investment in the business is the right thing to do. Thank you.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay. Thank you.
Operator: That concludes our Q&A segment for today. I would now like to turn the program back over to Mr. Scott Childress. Please go ahead, sir.
Scott Childress - United Parcel Service, Inc.: I'll hand the call to Richard for some comments.
Richard N. Peretz - United Parcel Service, Inc.: Yeah. I just wanted to make a few brief comments around some of what's going on around tax reform because with the potential that's unique for UPS is where taxpayers that pays between 34% and 35%. So because of that we continue to look at how do we optimize based on knowing the changes that might occur, and what's in front of us. And what that means is we continue to look at all of our strategies and make sure we're making the necessary adjustments. So we will continue to do that. David is actively engaged, along with the rest of the senior management team, and getting our story out about why we think the competitiveness in the U.S. improves when you bring the tax rate down because we create jobs, and we also can invest in a different way than we currently are. So, there's a lot more to come in this area, but I thought it was important for you all to hear our view that obviously with this change it's a generational thing, and we are planning for it and thinking about it in the right way. And with that I'll turn it over to David.
David P. Abney - United Parcel Service, Inc.: Okay. Thanks, Rich. As you can see, we are transforming our network for growth and long-term value. We're making great progress, especially in our Smart Logistics Network. Our strategies and investments are paying off, providing good positive returns, and we continue to see good growth opportunities for UPS. And, of course, for the next month or two, we're focused on delivering a successful holiday, both for our customers and our investors, and thank you for joining the call. I appreciate it. See you.